Jose Domecq: Good morning, ladies and gentlemen. Welcome to the ACCIONA's 2025 Results Presentation. Let me first introduce my colleagues. On the table to my left: Arantza Ezpeleta, CEO of ACCIONA Energia; to her left Raimundo Fernandez Cuesta, Chief Financial Sustainability Officer at ACCIONA Energia; to my right, Jose Angel Tejero, Chief Operating Officer at ACCIONA; and to his right; Jose Entrecanales, CFSO, Chief Financial and Sustainability Officer of ACCIONA. Before reviewing the performance of each division, let me briefly frame the environment in which we're operating. It is a volatile and fragmented context with shifting trade dynamics and technological anxiety. Governments continue to prioritize energy security, climate adaptation and investment in critical infrastructure, which translate into a stronger, more investable pipeline across our core business. Infrastructure including energy, of course, is no longer only about development. It has become a cornerstone of competitiveness and resilience. Energy security, cost and availability are the main constraints to industrial and technological development, while water and transport are critical in helping societies withstand climate-related disruptions and sustained growth. This is not a cyclical rebound but a structural shift. Rapid urbanization, accelerating electrification, digitalization and the renewal of aging assets are converging into what may be described as a global infrastructure super cycle. Estimates suggest that closing the global infrastructure gap will require several trillion dollars per year through 2040 across our main strategic segments, energy, transport, water and social infrastructure. At the same time, public budgets are constrained while private capital continues to seek long-duration derisked opportunities, supporting infrastructure as a mature and attractive asset class. ACCIONA is one of the few players with an end-to-end platform spanning development, engineering, construction, operation and long-term ownership across multiple infrastructure and energy solutions. This is already translating into strong results and record backlog visibility. 2025 was a good year, where we achieved record EBITDA of EUR 3.2 billion, representing a 31% year-on-year increase and exceeding the EUR 2.7 billion to EUR 3 billion target range set at the beginning of the year. This was driven primarily by a very strong performance of Nordex, together with a solid contribution from our Infrastructure division and the successful execution of our asset rotation strategy. In this regard, ACCIONA Energia to be a structural pillar of the group, generating EBITDA of over EUR 1.5 billion. Our infrastructure aggregated backlog exceeds EUR 120 billion with a particularly strong increase in future concessions, driven by managed lanes in the U.S. and is expected to grow further in the coming months following the pre-award of a 35-year water sanitation concession in Brazil. In energy, fundamentals remain supportive. Electricity demand is rising. Energy security is now a political priority. And what was once a green premium is increasingly becoming a green discount as renewables combine lower LCOE, levelized cost of energy, and less fuel price volatility than fossil generation in many markets. ACCIONA Energia has an approximately 22 gigawatt pipeline, while Nordex reached an all-time high backlog of EUR 16 billion, positioning the group to capture demand selectively and profitably while providing a clear example of how structural demand is translating into tangible results. The same demand for wind continues to be structurally supported by electrification, rising global power consumption, repowering mature markets and the growing strategic imperative for secure, locally sourced and independent energy supply, which more than offset somewhat weaker climate policies, particularly in the U.S. And the numbers back it up. Global wind turbine order intake reached 215 gigawatts in 2025, which is the second highest level ever recorded. In this context, Nordex is today the undisputed leader in Europe with almost 50% market share and the second largest global wind turbine manufacturer outside China. But let's not forget, Chinese competition is harsh and not always playing by the same rule book than European or Western manufacturers. We need to bear that in mind when protecting and promoting our few industrial champions. Those structural tailwinds continue to support our renewables platform, ACCIONA Energia. In 2025, we met our EBITDA target for the year and delivered strong progress in value crystallization with asset rotation transactions totaling EUR 3.2 billion and approximately EUR 900 million in capital gains since we launched our rotation program in 2024. Electricity demand is increasing well above historical averages driven by electrification, data centers, artificial intelligence, electric mobility and the reshoring of industrial activity. Renewables are indeed the cheapest and quickest to deploy source of new power in many markets. Improving storage economics are expanding the bankability of hybrid solutions and supporting more dispatchable renewable energy, reinforcing energy security and long-term investment effectiveness. This momentum is translating into tangible progress across our pipeline. We secured awards in PPA auctions in the Philippines and Italy. We reached financial close on 2 wind projects in South Africa with strong returns and improving battery economics enabled and attractive large-scale storage project in Chile. Beyond storage, we are actively advancing opportunities in repowering and data centers, strengthening the quality and optionality of our development pipeline and as always, prioritizing profitable growth. Despite the combination of extraordinary effects, including weaker-than-expected resource, some COD delays and the accelerated execution of our asset rotation, which resulted in a lower EBITDA contribution from the assets sold during the year, overall, our energy business performance was resilient. And we strengthened our portfolio quality, the visibility of our results while deleveraging and maintaining our credit ratings. Looking ahead, our strategy continues to evolve from capacity buildup to a more selective growth strategy. 1.3 gigawatts of projects already are committed until the end of 2027 while crystallizing value through asset rotation. Turning to Infrastructure. Population growth, as I was saying, urbanization, decarbonization and aging assets in general continue to drive demand across transport, water and social infrastructure. In this environment, the market favors integrated, technically led partners with proven global execution capacity, rigorous risk control and balance sheet strength. ACCIONA Infraestructuras performed strongly in 2025 with the largest project pipeline in its history. Construction maintained solid profitability with margins between 6% and 7% and around 80% of the order book with risk mitigation clauses supporting our healthy outlook. We achieved key milestones across our priority markets. As in North America, we reached the financial close of the SR-400 Managed Lanes project in Atlanta, and we were awarded the Eglinton Crosstown West light rail Extension in Toronto under a collaborative contracted model consistent with our disciplined risk approach. In Australia, we reached financial close of Central West Orana and continued progress in the Western Harbour tunnel, reinforcing the scale and complexity of our platform. In Latin America, we advanced flagship projects such as the Line 6 in the Sao Paulo Subway Grid and expanded our concession portfolio in Peru. Water also made very strong progress with EBITDA growing 50% in the year, driven by the efficient and faster-than-expected execution of key projects such as the Collahuasi and Casablanca desalination plants that's Collahuasi in Chile and Casablanca in Morocco. In Brazil, in sewage and water, we continue to build a strong platform with a pre-award of the Pernambuco concession alongside additional awards that reinforce the country as a strategic market for our Water business. Taken together, these results confirm our ability to translate structural demand into delivered complex projects, supported by disciplined execution and rigorous risk management. Other businesses also delivered solid progress with Bestinver managing EUR 8 billion in assets, supported by positive net inflows and continued progress in the alternative asset portfolio and top-tier investment performance. In Real Estate, we continue to rationalize our capital employed asset classes and geographical focus, while delivering record returns. Silence, while still far from breakeven, increased its unit sales by 41% in 2025 and continue to lead its categories, both in electric scooters and micro cars. Our Services business has reached a record level of activity, delivering all-time highs in both sales and margin contribution. In an environment where skilled labor in the Western economies is becoming increasingly scarce and costly, a trend that I expect will continue to intensify. Our services platform, with a workforce of more than 20,000 employees, provides a significant competitive advantage serving not only our own projects but also acting as a trusted workforce partner to third parties across multiple sectors and regions. In summary, demand for our assets and for our solutions remains very strong. We operate at the heart of structural trends, supported by an integrated platform, record backlog visibility and the capabilities required to convert opportunities into sustained long-term value. With that overview, let me now hand over first to the management team of ACCIONA Energia, followed then by the rest of the group, who will take you through a detailed operational and financial performance of '25. Thank you very much. Arantza, please.
Arantza Ezpeleta Puras: Thank you, Jose Manuel. Good morning. 2025 has been a year of good progress across many fronts, particularly on asset rotation, credit rating protection and preparing the company for a new and more balanced period of growth. On the less positive side, output has been much lower than expected due to the ramp-up of new capacity, lower wind resources on markets and some asset rotation deals closing ahead of the schedule. This has translated into EBITDA from operations somewhat below our initial targets. The priorities we set for 2025 were aligned with our strategic adaptation announced in early 2024 around a more flexible and sustainable growth pace, asset rotation as a new business and source of funding and the protection of our investment-grade credit profile. With respect to asset rotation, our target for the period 2024-2025 was to deliver EUR 3 billion of disposals in total. In 2025, the objective was to complete the sale of the hydro assets to Endesa signed at the end of 2024 for around EUR 1 billion and agree and complete another EUR 1.5 billion to EUR 1.7 billion worth of additional transactions. All of this was oriented towards reducing our leverage and stabilizing the credit ratios within investment-grade threshold as well as generating significant P&L gains and show through the value of our asset base. In 2025, we signed incremental transactions of EUR 1.9 billion, two of which will close in 2026. Overall, disposals completed during the year amount to approximately EUR 1.8 billion, including the sale of the hydro assets to Endesa signed at the end of 2024. The impact on our headline net debt was EUR 1.1 billion when we take into account the debt that was already classified as held for sale at the end of 2024. EBITDA from asset rotation in 2025 amounted to just over EUR 600 million. All in all, that is EUR 3.2 billion of disposal during the last 2 years generating approximately EUR 900 million in total gains. The only caveat is that the U.S. Mexico transaction with Mexico infrastructure partners and the sale of our interest in our two South African operating assets will close in 2026. The timing of these 2 transactions has resulted in net debt at year-end not fully reflecting the huge effort made on the asset protection front. Both rating agencies, DBRS and Fitch, maintained their investment-grade ratings. This was another key target for the year. Still Fitch moved its outlook from stable to negative, reflecting the delay in materializing the disposal proceeds and the somewhat weaker cash flow due to the low output. This is something we will address in the current financial year. The other key chapter in our priority list was the addition of close to 1 gigawatt of new capacity during the year and the commissioning of approximately 2 gigawatts of capacity constructed the year before, reducing our work in progress. Here, we installed 532 megawatts of new capacity, having decided to put on hold construction of 2 U.S. battery storage projects representing 400 megawatts and which were expected to add 350 megawatts in 2025. Key highlights here include the completion of Tahivilla, our second wind repowering project in Spain, the construction of our 50-megawatt biomass plant, Logrosan, the completion of Aldoga PV in Australia, Forty Mile wind in Canada and progress in the construction of Pedro Corto in the Dominican Republic. We are somewhat down on our adjusted target of 300 megawatts of new capacity a year without the U.S. battery projects due to the slower progress on Kalayaan II in the Philippines and Pedro Corto in Dominicana. On the commissioning side, the ramp-up phase has proven more complex and difficult than expected, particularly in MacIntyre. The initial contribution from these assets has fallen significantly short of our expectations as a result. We have faced technical problem in some assets like MacIntyre, Forty Mile and a faulty transformer at Juna in India and several climate-related events. Most issues have been already resolved, and we will work through the rest over the course of 2026. Commissioning of the Logrosan biomass plant is underway and MacIntyre is undoubtedly our biggest task for the year. MacIntyre has been going through the complex outselling grid compliance process with many whole points to pass. And recently, that issues have surfaced that we believe are related to damage costs during transport. We have already started to repay the first test of blades while we continue with inspection across the wind farm to assess the full extent of the problem, and we are also developing a recovering plan. And our objective would be to commission the plant in full by year-end. In summary, the slow ramp-up, together with a low wind results in some markets and the closing of asset rotation transactions ahead of schedule have resulted in consolidated production of 24.4 terawatt hours, and EBITDA from operations below our target even if average capture prices of EUR 62 per megawatt hour were higher than expected, thanks to Spain. A very healthy level of capital gains from asset rotation of more than EUR 600 million has resulted in satisfactory total EBITDA above EUR 1.5 billion within the range we set at the beginning of the year. Finally, in our priority list, we also wanted to secure a good set of development opportunities to fuel our growth in 2026 and provide as much visibility as possible for 2027. We think 2025 has been a good year for us on this front with 1.3 gigawatts of projects under FID, with FID under construction already or soon going into the construction phase. On the next slide, you can find a summary of the main asset protection figures for the period 2024 and 2025 for your reference. Let me move to the next slide. In this slide, we have laid out where we see the main opportunities and priorities for the year. On the opportunity side, we see a gradual acceleration in our growth with around 700 megawatts of expected capacity additions in the year relative to the 500 megawatts the year before. This is part of the current batch of projects with FID currently under construction or about to start, which add up to over 1.3 gigawatts of capacity to be installed during this year and next. During the last 3 months, we have been revisiting our project pipeline and reevaluated our development strategy. I will cover the new development strategy and some delays in a minute. On the priorities, a key objective for the year is to regain our stable outlook with Fitch ratings, and we have next 10 months or so to achieve this target. Critical for this objective is to close the transaction that were announced at the end of 2025, the U.S., Mexico deal and the sale of the South African assets, but also signing and closing an additional around EUR 1 billion of disposals, taking the total debt reduction from rotation to around EUR 2 billion. We're going to put a strong focus on the delivery of the projects under construction on budget and schedule. The full commissioning of MacIntyre and other assets like Logrosan are very high on our priority list. With respect to Southeast Asia, we acquired the majority of The Blue Circle last summer, and our key focus is on the Philippines with 2 assets under construction and a development pipeline including offshore wind awaiting for coming up auctions and PPAs opportunities. We are constructing wind in Thailand and facing regulatory challenges in Vietnam. Efficiency is also an important part of our focus in 2026 with a plan to cut corporate overheads in a material way. We are also reevaluating some of our nongeneration businesses from a strategic and financial perspective apart from the new plans that we have for the energy services activity. We're also considering selected opportunities to invest in battery storage. In Chile, we are about to start construction of the Malgarida, 200-megawatts, 5 hours battery and have the rest of our PV plants to consider hybridizing with returns that look very attractive, given the reduction in the battery storage CapEx cost and the night and day price different sales and capacity payments and curtailments faced in the North of Chile. On the repowering, we continuously review the older section of our asset fleet for opportunities without estranging from our core and distinctive life extension strategy. In the next slide, I want to briefly talk about the streamlining of our development pipeline and our new strategy for the development activity. With respect to the pipeline, we have optimized our development pipeline to 20 gigawatts. It builds upon high quality of projects, geographical and technology diversification and aims at preserving ample flexibility to adapt to quickly changing trends in markets and growing renewable energy saturation. This pipeline, we believe, is an excellent base from which to build upon under new strategy for development activity. Our aim is to attain a level of 1.8 gigawatts of investment opportunities per annum over time, whether these opportunities are for our own book or for third parties. This should allow for ACCIONA Energia to extract full value from its development footprint and expertise and provides the opportunity to maximize early stage development and greenfield opportunities independently of ACCIONA Energia investment capacity or strategy at any given time. And besides, if we have more capital, we can fully utilize this development capacity for ourselves. In the next slide, you can see the projects that we will be delivering capacity during 2026 and support further growth acceleration beyond 2026. These projects totaled 1.3 gigawatts and have contained FID with a strong return expectations at the upper part of our spread over WACC thresholds. We've tied and succeeded in recent government auctions in Italy and the Philippines: a 20-year Italian state contract for differential with no curtailment support the construction of Panbianco and Benante PV plants. On the Philippines green energy auction, also with 20-year contracts, we'll give visibility to Kalayaan II wind projects and Daanbantayan solar PV. We have also managed to structure one of the first set of private wind energy PPL base in South Africa with Zen and Berg River, which recently completed a lengthy and complex financial process. The Promina PV plant in Croatia is starting its construction and is supported by a government 12-year PPA award at the 2024 auction. In the Dominican Republic, the Pedro Corto PV plant is underway, also covered by a 15-year PPA with one of the local distribution companies. And finally, we are back to investing in Chile with the 1,000 megawatt hour battery storage project at our Malgarida PV site that I was referring before, which expect to deliver double-digit project returns and an excellent fit within our generation portfolio risk profile in Chile. All in all, without wanting to sound overly optimistic, we detect some improvement in investment conditions for renewable energy as long as you have the ability to move fast from a market to another and are happy to discard projects that are subpar. We have also renegotiated a number of PPAs related to a project under construction and 2 development projects, resulting in a satisfactory and balanced outcome for all parties. Challenges remain. This is intrinsic to our business, and we will have to control increase in module prices resulting from Chinese changing government policies and constructing some of our projects in more complex locations, like Southeast Asia. And with that, let me now hand over to Raimundo.
Raimundo Laborde: Thank you, Arantza. I wanted to start with our priorities in terms of leverage and credit ratings. In this next slide, we show you our indicative uses and sources of funds for 2026. We expect to generate around EUR 0.5 billion of operating cash flow, and we target proceeds from asset rotation of EUR 2 billion. With CapEx below EUR 1 billion and very limited dividend distribution this year, we target reducing debt by around EUR 1.5 billion, which would allow us not only to protect our ratings but to return to stable outlook with Fitch, which, as Arantza just said, is one of the key priorities we laid out for the year. In terms of asset rotation, as discussed, we're expecting to close the South Africa and the joint U.S. Mexico asset deal during 2026, which will bring around EUR 900 million of incremental debt reduction, and we plan to agree and close another EUR 1 billion or so in new asset rotation transactions during the year. These additional transactions are already in the market or we are preparing to launch several others to ensure we have good headroom and flexibility to deliver the targeted amounts. We are considering assets both in Spain and abroad across different technologies and transaction structures, whether this is outright sales or minority partnerships. With respect to CapEx, we estimate it will amount to around EUR 900 million, which compares to EUR 1.4 billion in 2025, which also included a significant net CapEx deferrals, including the payment for the Green Pastures wind farms acquired at the end of 2024. In 2026, there is limited net CapEx deferral as levels of activity have moderated and investment converges more closely with capacity additions. CapEx related to projects under construction should be somewhere between EUR 0.5 billion and EUR 600 million or so. This is what is committed. We're budgeting another EUR 200 million or so for new projects for '26 and '27. So this is projects that don't have an FID yet, but we're assuming that we will have FID by year-end and start spending some CapEx. And this is over and above the 1.3 gigs that we already have committed. And apart from CapEx related to identified and yet to be approved projects, there is investment in the development pipeline as well as in energy services, EV charging networks, IT and other. So let's move to the next slide with the 2025 results highlights. Consolidated capacity fell by 5% from 13.6 gigs to 12.9 gigs with capacity additions of 0.5 gigawatts and asset disposals of 1.25 gigawatts. Revenues are down 4% to EUR 2.925 billion, of which EUR 1.5 billion correspond to generation revenues, which fell 8% year-on-year on lower average prices at EUR 62 per megawatt hour. This was down 10% year-on-year and consolidated output of 24.4 terawatt hours, which is 2% higher than the previous year. Total EBITDA reached EUR 1.546 billion. This is 38% higher than the previous year. EBITDA from operations is down 11% to EUR 932 million, while EBITDA from asset rotation amounted to EUR 614 million. This compares to EUR 73 million in 2024. The rotation gains correspond for the most part to the Spanish hydro and wind disposals completed during the year. Profit attributable to the shareholders of ACCIONA Energia reached EUR 655 million. This is up 83% year-on-year. In terms of cash flow and net debt, net investment cash flow amounted to EUR 372 million with CapEx of over EUR 1.4 billion compensated with approximately EUR 1.1 billion of asset rotation proceeds. Net debt stood at just under EUR 4.2 billion. This compares with EUR 4.1 billion at the end of the previous year with debt associated to assets held for sale at the time of EUR 821 million. These assets have been sold already, and the net debt held for sale at the end of 2025 is just EUR 50 million. So there is a very significant reduction in underlying net debt. Moving to the ESG results and highlights for the year. I would highlight that 100% of the CapEx continues to be aligned with the EU Taxonomy. On the environmental side, our Scope 1 and 2 emissions have fallen by 12%, reflecting, in part, our efforts to decarbonize our vehicle fleet through electrification and use of HVO. We have avoided also significant new emissions by using HVO in the Lograsan biomass plant, which was firing its boiler to clean and test it. We have also reduced 100% of slag and ashes from our biomass plants, this is the primary source of our waste, and this represents almost 85% of what we do. With respect to social, we are pleased to report no fatal accidents, whether our own employees or contractors. And the frequency index stood at 0.37, which is below our 0.4 target for the year. On the next slide, on summary of investment, you can find the detail of our investment during the year, EUR 1.4 billion, as we discussed, including EUR 505 million of net CapEx deferrals including the price for the Green Pastures wind farms acquired the previous year as well as the tail end of payments for projects such as Aldoga, Forty Mile and MacIntyre. Investment has been concentrated in North America; also in Australia, Aldoga and MacIntyre as mentioned, the Tahivilla and repowering in the Logrosan biomass plants in Spain; and elsewhere, we have the Juna plant in India and Kalayaan II in the Philippines as well as the acquisition and consolidation of the other half of The Blue Circle joint venture in Southeast Asia that we did not own. On the next slide with the net debt evolution. With respect to the cash flow movements that drive net debt, here, we show operating cash flow of EUR 373 million, net investment of EUR 372 million, which is made up as discussed of EUR 1.1 billion of net disposal proceeds and EUR 1.4 billion of CapEx. Dividend last year amounted to EUR 143 million. And all of this resulted in EUR 4.2 billion of net debt at year-end. It's important to highlight the reduction in debt associated to work in progress, which stood at EUR 1.8 billion at the end of '25. And here, MacIntyre represents around EUR 1.1 billion of work in progress, and Logrosan plant which has been commissioned right now, that is another EUR 190 million. So as these assets come online, we expect a further significant reduction in work in progress. Moving to the operating results of the Spanish and International fleets, starting with Spain. In this slide, you can find the revenue drivers for the Spanish business. Volumes fell by 24%. This is mostly the result of the hydro asset disposal in late 2024 and early 2025. Disposals in Spain detracted more than 2.2 terawatt hours of output, and we also had lower wind resource, which meant a reduction of 0.5 terawatt hours relative to where we should have been. Merchant output represented 165 gigs of consolidated production. In terms of prices, the average recorded price amounted to EUR 76.7 per megawatt hour. This is flat year-on-year and higher than we expected initially. We have particularly good covariance in 2025, including very high capture prices in the hydro output while we had these assets with us and also in the wind perimeter. And also, the regulatory accounting contributed more than expected, including some EUR 20 million of positive one-offs in the banding mechanism. You can see that hedging is less of a driver as our short-term and long-term hedges have converged to prices more consistent with the current power price environment. Whereas last year in 2024, we still benefited from short-term hedges closed in the tail end of the energy crisis at more than EUR 90 per megawatt hour. In the next slide with the Spanish operating results. Revenues in generation fell by 24% to EUR 648 million. In this slide, you can see generation EBITDA of EUR 341 million, down 26.6%, and total EBITDA from operations at EUR 327 million relative to EUR 443 million the previous year. In the chart, you can see how EBITDA was impacted primarily by the loss of output and contribution from the large asset disposal transactions and, to a lesser extent, by the lower output on a like-for-like basis. Including asset rotation gains, EBITDA in Spain reached EUR 933 million, which compares against EUR 504 million the previous year. On the next slide, on the International revenue drivers. Output increased by 26% to almost 16 terawatt hours, principally due to new capacity in operation, which added 2.6 terawatt hours of production. And this is some improvement in output as well in the existing operating asset base during the year. Key growth assets include Forty Mile, Green Pastures, Union and Red-Tailed Hawk in North America. This is the region which shows the largest increase in output, and MacIntyre and Aldooga in Australia, which increased its output by more than 80%. In terms of prices, average capture prices fell by 12% to EUR 54.1 per megawatt hour with lower prices in most regions, particularly the U.S. and Australia, which saw very high prices in 2024. The underlying performance of Chile is very good. As last year, the average price contained extraordinary recovery of PEC tariff deficits for around $40 million embedded in that price. So the underlying performance is quite good, actually. International generation revenues increased 10% by EUR 862 million. And on the last slide in the ACCIONA Energia section, international operating results. Generation EBITDA increases by 5.6% to EUR 605 million, better output and contribution from the new assets, and we had negative impact from FX. In terms of the key geographies that are notable, we have the U.S., which grows on the large increase in new capacity, and that is despite the lower prices. Mexico grows on better prices and output, and 2024 production was very weak. Chile has performed well, again, taking into account extraordinary PEC revenues of $40 million in the previous year. Output was poor, but we have seen better PPA margins and slightly higher injection prices in PV. Australia improved, thanks to the large increase in volumes and despite lower prices, but should have been better. While Aldoga reached COD ahead of schedule, MacIntyre was behind us as discussed. And this concludes the review of ACCIONA Energia operating results, and let me hand over to Jose Angel Tejero.
Jose Angel Santos: Thank you, Raimundo. We will now turn to present ACCIONA 2025 results. Starting with Infrastructure, 2025 has been another year of solid execution across our core activities, supported by a healthy backlog and a clear strategic focus. In Construction, profitability has been maintained at solid levels, reflecting a strong focus on OECD countries, contracts with appropriate risk-sharing mechanisms and an execution model that prioritizes predictability and margin protection. This allows us to convert backlog into earnings with high degree of visibility even in a volatile macro environment. Turning to Water. EBITDA has grown to close to 50% compared to last year, being one of the standout contributors in 2025, reflecting both operational leverage and an efficient and faster-than-expected execution of several key projects. In December, we have been selected as preferred bidder for a major contract in Brazil, the Pernambuco project, which further strengthens our positioning in this market and supports future growth. In Concessions, 2025 marked an important milestone with the signing of our first managed lane project in the United States, the SR-400, as well as the Central West Orana transmission line in Australia. These are highly relevant steps, not only because of these project themselves, but because it validates our integrated construction plus concession model. Our ability to structure, finance and operate complex assets and our ambition to grow selectively in markets with loan duration and stable cash flows. Looking ahead, our priorities for 2026 are very clear, to maintain profitability in Construction, to start operations of relevant water contracts as the first segment of Line 6 in Sao Paulo and to continue advancing transmission lines in Australia and Peru while exploring new opportunities in other markets and to remain highly active in management opportunities in the U.S. with 2 tenders expected next year. Going to the next slide. Moving to Nordex. 2025 marks a very strong year with both financial and operational targets achieved or even exceeded, including the medium-term margin target ahead of our schedule. Nordex continues to strengthen its competitive fair position, increasing market share and consolidating its leadership in Europe, where it is now the #1 player with a 48% market share and ranking second globally excluding China. This performance highlights the strength of our product offering, execution capabilities and customer relationships. A key driver of stability and visibility is the service business in Nordex. Service backlog has reached already EUR 6 billion, setting a solid foundation for stable recurring growth. Nordex has now 48 gigawatts under active service with an average contract tenor of 13 years and availability rate of over 97% in the fourth quarter, reflecting the quality and reliability of the fleet under management. Looking ahead to 2026, the focus remains on maintaining financial flexibility supported by strong balance sheet and ample liquidity, while targeting an EBITDA margin between 8% to 11% on sales of EUR 8.2 billion to EUR 9 billion. In addition, Nordex has introduced its first shareholder remuneration policy, targeting a minimum annual shareholder return of EUR 50 million to be delivered either through dividends or share buybacks and always subject to regulatory approvals, capital structure priorities and stable market conditions. Moving to the next slide and looking at other activities, mainly Bestinver and Real Estate. I would like to briefly highlight the performance of these two activities. Starting with Real Estate, 2025 has been an excellent year. We delivered 1,244 units, beating the guidance and continuing to optimize our portfolio through the disposal of nonstrategic land plots and the office building in Madrid. This performance has resulted in a record EBITDA of EUR 84 million. Looking ahead to 2026, our priorities are to maintain annual deliveries between 1,000 to 1,200 units, continue optimizing the land bank through selective disposals and pursue targeted investments aligned with our long-term strategy. In Asset Management, Bestinver has delivered a very strong year, maintaining an excellent performance in its liquid funds with a total year assets under management of EUR 7.7 billion. And Bestinver Bolsa has ranked as Spain top-performing equity fund in 2025 with 58% return. Looking at our 2026 priorities, one of our key initiatives is the planned launch in 2026 of our first fixed income fund for institutional investors in Luxembourg, which will further broaden the product offering and support growth. And with that, I will now hand over the floor to our CFO, Jose.
Jose Carrion: Thank you, Jose Angel. Good morning, everyone. Let me walk you through ACCIONA's financial results for the full year 2025. Starting with the key financial highlights. We delivered solid full year 2025 results, beating guidance across the main metrics. EBITDA increased by 31%, profit before taxes by 82% and attributable net profit by 90%, primarily driven by the results from asset rotation in ACCIONA Energia, strong performance of Nordex and together with a solid contribution from the Infrastructure business. EBITDA contribution was well balanced across activities with 48% coming from ACCIONA Energia, 25% from Infrastructure and 23% from Nordex, reflecting the good diversification of the group. Net investment cash flow amounted to EUR 1.1 billion, supported by a reduction in ordinary CapEx to EUR 2.25 billion compared to EUR 2.8 billion in 2024 and EUR 1.1 billion in proceeds from asset rotation in ACCIONA Energia and a positive net cash flow contribution of around EUR 110 million from property development. As a result, we closed the year with a robust balance sheet and a significant reduction in leverage with our net debt-to-EBITDA ratio declining from 2.9x in December 2024 to 2.2x at the end of 2025, which is well ahead of our target of remaining below 3.5x. With regards to nonfinancial results. Our total workforce increased by 3.8% to more than 68,000 employees. Health and safety indicators also improved this year, and the number of social impact programs implemented across ACCIONA's projects increased, reaching 2.2 million beneficiaries in 31 countries. The group's Scope 1 and 2 greenhouse gas emissions amounted to 205,000 tonnes of CO2 equivalent, which represents a 4% increase year-on-year. Nevertheless, the company remains within its Science-Based Targets initiative trajectory, which aims to reduce emissions by 60% by 2030 compared to our 2017 baseline and by 90% by 2040. Circular economy indicators improved significantly, largely due to construction projects in Australia, which were able to recover a substantial portion of excavated materials, which are the company's main waste product as of today. Investment levels aligned with EU Taxonomy remain comfortably above our 90% target, and this has enabled the issuance of 37 new green financings amounting to EUR 2.4 billion, bringing the proportion of the group's debt classified as either green or sustainability-linked to around 84%. During 2025, the group recorded EUR 2.25 billion of gross investments, mainly across ACCIONA Energia and our Infrastructure division. Energy investments were concentrated in projects such as MacIntyre and Aldoga in Australia, Green Pastures and Forty Mile in the U.S. and Canada as well as the Tahivilla repowering project and the Logrosan biomass plant in Spain. Infrastructure investments amounted to EUR 624 million, mainly related to construction machinery, equity and equity contributions to concessions, particularly in the Line 6 project in Sao Paulo and Lima's Peripheral Ring Road as well as the CapEx of transmission lines in Peru. Divestments reached EUR 1.1 billion, thanks to 4 main transactions: the sale of the hydro assets, which Arantza mentioned at the beginning of the year, the wind assets in Peru, Spain and Costa Rica in the second half of 2025. On this slide, you can see the main drivers behind the evolution of net debt for the group during 2025. Operating cash flow reached EUR 2 billion with a positive working capital contribution for the third year in a row of EUR 656 million in 2025, mainly driven by Infrastructure due to a very good performance in terms of execution, advanced payments and collections. Net investment cash flow was EUR 1.1 billion and financing and other cash flows amounted to EUR 830 million, including approximately EUR 180 million invested in the acquisition of an additional 2.8% stake of ACCIONA Energia. As a result, net debt closed slightly below EUR 7 billion, including IFRS 16 adjustments, which is EUR 139 million reduction year-on-year. It is important to highlight that a significant portion of this debt, EUR 2.7 billion, is associated with energy assets under construction or not yet fully in operation as well as that linked to the Real Estate projects under development. Given that Raimundo has already covered ACCIONA Energia's financial performance, I will move straight to Infrastructure. In our Infrastructure division, 2025 was a good year in terms of execution and growth. Revenues increased by 6.7% with 82% of those revenues coming from OECD countries, reflecting the quality and geographic diversification of the portfolio. Australia remains our main region, accounting for approximately 38% of revenues followed by Spain, LatAm and EMEA. In terms of backlog, we reached a historically high level of EUR 30 billion in terms of global backlog and EUR 120 billion in terms of aggregate backlog, which includes our portion of long-term revenues expected to be generated by the concessional assets that we report on an equity-accounted basis. This aggregate backlog is up 124% year-on-year, driven mainly by the SR-400 project, which added about EUR 60 billion to it. The average life of the construction D&C backlog is around 2.5 years, which is consistent with the project-based nature of the activity. In Water operations & maintenance, the average backlog life extends to approximately 5.4 years, which reflects the more stable and recurring nature of those contracts. And lastly, our concessions asset portfolio has an average life of around 50 years. Geographically, aggregate backlog is highly diversified with a strong presence in North America and a clear focus on OECD markets. In the appendix of the full presentation, you have extensive details of the largest construction and concession projects in our backlog. Turning to Construction. Profitability remained resilient with EBITDA margins remaining at around 7%, in line with the previous year and reflecting a disciplined approach to project selection and strong risk control measures. Australia stood out with 13% revenue growth, driven by good progress in the execution of projects like the Western Harbour Tunnel, M-80 Ring Road or Central West Orana and Suburban Rail Loop. Construction backlog reached EUR 18.1 billion, which is up 2.6% versus 2024, which reflects a moderate year-on-year increase despite the relevant awards added during the year mainly due to ForEx impact. Beyond the sheer size of the backlog, equivalent approximately 2.5 years of activity, what stands out is the strong geographic diversification of it and it's increasingly derisked profile with 81% of the total incorporating some sort of contractual risk mitigation mechanisms, whether it is collaborative contracts, contracts related to our own concession projects or contracts with price protection clauses. Moving to concessions. The portfolio remains young with 90% of it remaining under construction and therefore, with limited P&L impact today. Sales grew by 103% and EBITDA reached EUR 160 million, driven by the financial close of the SR-400 project in Atlanta and the financial close of Central West Orana in New South Wales, Australia. The good performance of the Peruvian transmission lines also contributed and the commissioning of the Kwinana waste-to-energy plant in Australia was also an important factor. Equity invested in Concessions assets reached EUR 704 million with EUR 1.6 billion of equity commitments between 2026 and 2035. The portfolio remains well balanced with 54% of it with demand risk and 46% with availability-based payments. In 2025, our Water division delivered remarkable growth with revenues up 16.5% and EBITDA increasing by around 50%, driven by good execution in Collahuasi and the Casablanca desalination plants. Backlog also increased by approximately 11% to EUR 7.7 billion with key awards such as the Sanepar and Cesan projects in Brazil. And these backlog figures do not include the preaward of Pernambuco, which has already been mentioned and will add around EUR 30 billion to the aggregate concessions backlog. Given how relevant our Concessions business has become for the group and, more importantly, how relevant we expect it to become in the next decade, let we spend a few minutes going into more detail. Over the last few years, ACCIONA has emerged as one of the leading global players in greenfield infra concessions with particularly strong growth over the last 3 years. Between 2023 and 2025, we were awarded 17 new projects with total associated investments of EUR 27 billion and an average project size of EUR 1.6 billion. EUR 27 billion is total or 100% of these projects, not a share. Since 2019, our average project size has quadrupled and the average remaining life of our portfolio has tripled, which highlights the improvement in the quality of the portfolio over the period. 2025 was particularly significant with important milestones such as the financial close of SR-400 and the financial close of Central West Orana in Australia as well as the acquisition of transmission lines in Peru and major water awards in Brazil. The strategy underpinning our business model is to operate as an integrated development and asset platform, combining global expertise and structuring capabilities with strong local construction execution capacities. This differentiated approach allows us to originate, develop, finance, build and operate large-scale infrastructure projects while maintaining control over the risks that we are taking and the value that these projects generate throughout their life cycle. It is our key competitive advantage in this respect. Our growth strategy is clearly focused on a number of priority segments, including managed lanes and toll roads, urban rail and metro systems, transmission lines, high-speed rail as well as our selected -- or selected social and water concessions. Geographically, our efforts are concentrated on the U.S., Australia, Brazil and Peru, and Chile, which is where we see the strongest pipeline and the most attractive risk return profiles. A key feature of our model is the ability to take relevant equity stakes, either with control or with strong governance rights, combined with a flexible approach to asset rotation, allowing us to transform assets from greenfield to brownfield and optimize capital allocation over time. Looking ahead, growth opportunities are substantial. We have identified a pipeline of approximately 130 greenfield opportunities, which represent around EUR 300 billion of associated investment expected to be tendered in the coming years. Within this pipeline, managed lanes will be a major growth driver. We have identified 7 projects with high visibility that alone represent over $80 billion of total investment and around $30 billion of total equity investments. Over the next 2 years, we expect to submit more than 49 proposals across our core markets. The opportunity, therefore, is compelling, and we believe we are very well positioned to capture this growth. Our current concessions portfolio includes 78 assets in 11 countries with total investment for 100% of the projects of more than EUR 36 billion. On this slide, you can see both the geographical diversification of our portfolio with a clear focus on OECD countries and a strong presence in Europe, North America, Australia and LatAm and the well-balanced nature of our portfolio, which spans transport infrastructure, water concessions, transmission lines and waste-to-energy plants, combining different sectors and stages of development. Total equity investment to date amounts to EUR 879 million as of 31st of December '25, And we have additional equity commitments of approximately EUR 1.9 billion between 2026 and 2035, which will take the total equity invested at the end of 2035 with the projects that we currently have in our portfolio to EUR 2.7 billion. As you can see in the next slide, these investments are well spread out over the next 7 years with no significant concentration in any particular year. The average remaining life of this portfolio is around 50 years, and it is expected to generate approximately EUR 60 billion in dividends and cash distributions for ACCIONA over the period. With respect to Nordex, since the team presented results 2 days ago, outstanding results, if I may say so, I will not go into the details. I will highlight, however, that Nordex contributed EUR 749 million to ACCIONA's EBITDA which includes EUR 118 million from the reversal of provisions, which relate to the updated view of Nordex's quality cost program. That is on top of the EUR 631 million EBITDA that Nordex reported. Moving to Other Activities. Living, our real estate development business, has achieved extraordinarily good results in 2025 with an EBITDA that almost doubled versus 2024. Since Jose Angel has already gone through the highlights of '25 and priorities for 2026, I will not go into more details. But let me just highlight that our gross asset value at the end of 2025 stood at EUR 1.5 billion, which is an 8.4% decrease compared to '24, just consistent with the high number of units delivered and the asset sales and the strategy of land bank optimization through the sale of old stock. And finally, Bestinver also delivered a solid year with revenues increasing by 4.4%, EBITDA by 8% to EUR 55 million driven by higher average assets under management, which grew by 10% (sic) [ 9.8% ] year-on-year. And at year-end assets under management reached EUR 7.7 billion, up EUR 870 million as a combination of positive net inflows for another consecutive year and an outstanding performance of most of our funds with a particular really good performance of Bestinver Bolsa, which ranked in Spain's top-performing equity fund in 2025, delivering a 58% return. With that, let me thank you for your attention. And I will hand the floor back to Jose Manuel for the outlook and opening of the Q&A session.
Jose Domecq: Okay. Thank you, Jose. Very briefly. I will do a 2026 outlook, where we expect a stable operating EBITDA, bringing total group EBITDA to a range of between EUR 2.8 billion and EUR 3.1 billion. For ACCIONA Energia, the outlook is exceptionally volatile and difficult to predict due to uncertainties in the timing of asset rotation and extraordinary weather conditions with very high hydrological inflows and reserves in Spain with FX volatility and timing of new assets reaching COD, which is, as you know, commercial operation date. However, given all these caveats, we would expect about EUR 1.2 billion total EBITDA for ACCIONA Energia. And we -- a month ago or a couple of weeks ago, we were finishing our final budget for the year, which I would have said comfortably flat operational EBITDA. At this stage with the exceptional rain and hydrological reserves in Spain, I would dare say that it's going to be a small decrease expectation for the year. And for ACCIONA Group, 2026, we will also expect an investment cash flow of between EUR 2.2 billion and EUR 2.5 billion, net debt-to-EBITDA to remain below 3x supported by asset rotation and CapEx discipline, basically in order to continue to maintain investment grade and a dividend per share of EUR 5.65, which we aim to maintain a stable with a small growth in the coming years. Beyond '26, volatility may persist, Geopolitics may remain unpredictable, and the execution environment will continue to be demanding. Our strategy, however, is focused on what we can control, which is disciplined capital allocation and operational excellence. We are, as I was saying in the beginning, globally diversified. Our integrated model is built for resilience. Demand is not a question. Obviously, the question is execution with selectivity and discipline and scale. Our strong asset base, deep technical capabilities and record backlog allow us to remain focused and selective on projects with sustainability, complexity and attractive returns genuinely reinforcing each other. ACCIONA enters in this new phase, better than ever, positioned to translate structural demand into long-term shareholder value by delivering essential infrastructure to what society needs. Thank you very much. And we will now enter the Q&A session, for which I anticipate my appreciation and thanks for the many questions we have received, which we will, in some cases, bundle together in order to save time.
Jose Domecq: To start with, we will handle the energy questions, Energia questions. The first one comes from a number of market analysts from Caixa, JPMorgan, RBC, Kepler, JBCM, Santander and HSBC, thank you all. And the question is, can you please clarify the target EBITDA for 2026 excluding asset rotations as well as giving guidance post 2026. Arantza, please?
Arantza Ezpeleta Puras: Thank you, Jose Manuel. So in relation to 2026 EBITDA and most completely in the operating EBITDA, first of all, we have to take into consideration that the most relevant factor to do that is the timing of the closing of the asset disposals as this can affect the perimeter, but also the contribution to the EBITDA that we have incorporated. If we leave this aside and excluding the asset rotation gains, a couple of weeks ago, I would have said flat. But now given the heavy rains that we have seen suffering in Spain in the last couple of weeks, I would have said that the -- and the impact that this must have on the Spanish prices, I would now say that probably we could expect a small single-digit decline versus 2025. Regarding the asset from operation -- asset rotation EBITDA, what I would expect is a more normalized amount than 2025, which was an extraordinary year in that front. And post 2026, looking at more midterm 2030, you should take into consideration a consolidated output of around 30 terawatt hours, coming up from the 24.4 terawatt hours we had last year. And this means around 1 terawatt hour per year of production contribution. With this and your assumption in prices and generation, you will see that this would guide you to an increase in our operating EBITDA, a CAGR of around mid-single digits.
Jose Domecq: Thank you, Arantza. Let me make a very general rule of thumb, 2030, 30 terawatt hours. So it's kind of easy to remember. As things stand now, obviously, that target is subject to improvement if we would have the ability to do so in terms of capital and balance sheet capacity. Question number two, impact of efficiency measures. What do you estimate to be the impact of the efficiency measures in an annual EBITDA? This is from Flora at CaixaBank. Arantza, please, or Raimundo, whatever.
Raimundo Laborde: Okay. I'll take that up if you want, Jose Manuel. We prepared a plan to address some of the key structural cost categories starting 1st of January 2026. But when we look at the run rate, which should be achieved during 2027, we are considering around -- or targeting around EUR 35 million of structural cost reductions. During 2026, it would be a part of it. Half or more than half, we think it will be achieved during the current year.
Arantza Ezpeleta Puras: Yes.
Jose Domecq: Thank you. Question number three from Flora, Italian proposal on energy prices. Can we make a comment on the Italian proposal to decouple CO2 prices from power prices?
Arantza Ezpeleta Puras: Yes. So I'll take this one. I think, first, we have to take into consideration that our exposure to Italy is really limited. We have only 0.2 terawatt hours and, in terms of revenues, around EUR 30 million. Having said that, last week, the Italian government announced a Decree Law that incorporated some measures to reduce the electricity and gas cost and support the households and industry prices for the sake of competitiveness of the industry. The key proposal that was included in this Decree Law was to compensate the thermal generation for the CO2 allowance cost, preventing them from passing this into the auctions into the market prices. This could lower approximately -- in an initial estimation, this could lower the price around EUR 30 per megawatt hour. However, these measures would not enter into effect until January 1, 2027. And it has to pass the usually complex process of the European Commission stated approval. But also given the potential conflicts with the EU ETS and the internal market rules might be a little bit challenging. Having said that, from our perspective, we do not support the interventions in the generation market, especially those that weaken the signals -- the decarbonization signals by sealing emitting technologies from CO2 costs.
Jose Domecq: Yes. Let me just underwrite that comment from Arantza. We find it somewhat surprising that we have -- sending the market decarbonization signals through carbon pricing and then offsetting those signals through opposite policies in the member states. It doesn't make a lot of sense. It would make a lot more sense to help out, as Arantza mentioned, the energy-intensive industries or needed households, whatever, but on the demand side, not on the supply side as we understand it, however. Question number four from Beatrice Gianola, Mediobanca and Flora at Caixa Bank. What are our expectation for asset rotations this year in terms of timing and geography? Let me just beyond -- besides Raimundo's specific answer to that question, let me say that as a rule of thumb, you should be aware that we are extremely selective in the transactions we close in the matter of price. So we have more transactions in the market than we need, and we will be selective and differentiate those which are more attractive. Therefore, it is difficult to predict. Having said that, please, Raimundo.
Raimundo Laborde: Thank you so. Just to recap. On the one hand, we have to close the transactions that were signed at the end of 2025. This is basically South Africa plus the U.S. PV minority, which is also combined with the sale of 2 wind farms in Mexico. This is roughly in terms of incremental debt reduction as we said throughout the presentation, around EUR 900 million of additional proceeds. And we want to close another EUR 1 billion, EUR 1.1 billion of opportunities. As Jose Manuel was saying, we are managing our portfolio that is in terms of opportunities to sell that is larger than what we need, as we did last year. And at the moment, it's approximately 2.5 gigawatts of capacity in different stages of negotiation and process. We cannot be too specific on the particular assets that are in our list. But in Spain, perhaps we can be a bit more specific on -- we have potentially another large portfolio win in the market. We could also consider the sale of our residual or remaining hydro assets. In the international business, we're looking across all the continents. We have a very wide portfolio of assets, as you know, in present. And here, we're looking in some cases at selling out right 100% of these assets and, in other cases, a large minority holding in there. And with respect to what we're going to do beyond '26 and '27 and beyond, we would expect that the level of asset rotation is not as extreme or as high as what we've done in '24, '25 and we will need to do also in '26, but it will be more normal. We've indicated that this is part of our ongoing business. This is a source of funding for our growth. This is a source of capital gains, arbitrage between trading share prices and what we think the value of our assets is. So this is going to continue happening, although probably in the 400 to 500-megawatt per annum range.
Jose Domecq: Thank you. Question number five. Question comes from Flora. Why do we find -- why do we think it's so critical to maintain the rating and the consequences of losing it? Quite frankly, I don't think maintaining the rating is critical. I think it's important. I think it's a commitment we've made to the market, and it improves our weighted average cost of capital, it improves our liquidity and it's very good to have, a very nice to have. We will try to maintain it and we will do our efforts to maintain it. Frankly, at this stage, we believe maintaining this -- and this, we expect this to remain this way, we think maintaining the rating is the best option. Anything to add, Raimundo, Arantza?
Raimundo Laborde: No, I think this is pretty much it. Excess Liquidity, gives us access to the market. It reduces our cost of borrowing and it's something that gives us very good support to our plans.
Jose Domecq: Very good. Thank you. As for question number six, from JPMorgan, Javier Garrido; Alvaro Soriano, Alantra; and Charles Swabey from HSBC. Within the 26 terawatt hour production target for '26, how many correspond to assets that are planned to be sold? Does it include any contribution from assets that will be commissioned during 2026? I guess the answer to that is the 26 terawatt hours are net of negative or reductions in rotated assets. But I don't know if there's anything to add to that.
Arantza Ezpeleta Puras: No. What I would say is that, yes, it's precisely what you were mentioning. The guidance included -- these 26 terawatt hours were included were net of the reduction from the asset rotation but also incorporating the contribution of the new assets that are going to be put into operation during the years. Of course, the final figure will depend on the schedule of the timing of the disposals, which, as I was mentioning before, will, of course, might have a significant impact of the operating EBITDA. As a general rule of thumb, what I would say is that you should expect that -- I was mentioning before, this 30 terawatt hours for by 2030, which approximately will grow at 1 terawatt hour per year. And I think that's what you should use for your calculations.
Jose Domecq: Thank you. Question number seven is from Javier Garrido at JP. What is our current open position in Spain and expectations for 2027? Raimundo?
Raimundo Laborde: Okay. Yes, in 2027, our production in Spain should be somewhere around 8 to 8.5 terawatt hours, taking into account potential incremental rotation during 2026 and also the increased contribution from Logrosan biomass plant and other assets that although they're not huge, but they contribute to growth in output as well from new capacity. So let's just say 8.5. Out of that, we will have, including the Logrosan plant and assuming some of these wins that will be regulated that we sell, around 2 terawatt hours of regulated output. Our long-term and medium-term contracts amount to around 4 terawatt hours. So that's 6 out of 8, 8.5. So that would give you the portion that is contracted.
Jose Domecq: Thank you. Question number eight, what is our sensitivity of Spanish power prices in 2026 EBITDA -- impact in EBITDA if prices were to move minus EUR 5 a megawatt hour versus our assumption? Arantza or Raimundo?
Arantza Ezpeleta Puras: Yes. Well, our merchant position in Spain for 2026 is around 2.5 terawatt hours, in addition to some of adjustments due to the [ ban ] mechanisms of the regulated assets that are also exposed to changes in the pool price. Taking all things into consideration, the impact should be around EUR 20 million.
Jose Domecq: Next question from Fernando Garcia at RBC, is how have you started in terms of output versus UP50 in January and February? And is your output guidance versus UP50 or incorporates the evolution of these 2 months? Arantza, Raimundo?
Arantza Ezpeleta Puras: Yes. Well, I'll take this one. So in terms of the generation of the production, as I was mentioning before, the year has started very well, particularly in Spain due to the strong resource and rains that has driven an above-expectation in terms of production. This has been somehow offset by a more normal contribution for the international side. That's on the production side. On the other side, the prices have been, and particularly in Spain, precisely because of that, somehow below, what we were expecting. But in general and answering to the question, the guidance that we have given for the production of the year fully incorporates the performance of these first 2 months.
Jose Domecq: Thank you, Arantza. Next question from Jose Porta of Kepler; Fernando Garcia of RBC; and Oscar Najar at Santander is a Classic is update on strategic optionality. My answer there is the same as has been over the years, which is there is an intrinsic value on the optionality of maintaining ACCIONA Energia publicly traded. The options, the many options are constantly analyzed. Maybe the only minor caveat that I may say there is that we have retained a bank to help us in that process of analyzing all the different alternatives. But the situation remains to be the same as usual. Thank you very much. Number 11, merchant exposure -- Pablo Cuadrado, JBCM, merchant exposure for this year in Spain and international markets. I think we've answered that question. So international markets, Raimundo?
Raimundo Laborde: Yes. Spain is very much the same as we just discussed, and international markets tends to be around 17% hedged. And overall, we want to have roughly an 80-20 hedging across the portfolio.
Jose Domecq: Yes. Thank you. MacIntyre, when do we expect the MacIntyre to be 100% commissioned? Did you find out the problem of the blades? And could you be compensated for that? Are you seeing any further delays in the commissioning of assets? From Pablo Cuadrado and Oscar Najar. Arantza?
Arantza Ezpeleta Puras: Yes. So MacIntyre is currently going under the commissioning process. We successfully passed Hold Point 3 and we got the authorization to go through the testing process for Hold Point 4. During the commissioning process, we found damage associated to a significant number of blades. According to the preliminary analysis underway, we believe it is related to the transportation to site. We continue carrying out the delivery. And in the meantime, we're working, on the one side, on the insurance recovery. And on the other side, we are also working on having blades -- repair plan blades on site, which is already taking place. And also, we are incorporating accelerating and mitigating measures. With all in mind, we have a target of having the wind farm fully commissioned by year-end.
Jose Domecq: Thank you. Question number 13 is from Pablo Cuadrado and Oscar Najar. Is the downgrade on gross installations guidance for the year a transitory decision to refocus on the leverage? Or shall we assume a slowdown in the gross installation targets for the next few years? I guess, is why not becoming ambitious again post balance sheet improvement? Well, yes, let me take that one, indeed, why not? We are, as you say, balancing out our balance sheet, and therefore, '25 and '26 installations are, I would say, somewhat lower than normal. In the coming years, I would expect installation or new capacity additions of between 1 and 2, 1.5 and reductions of anywhere around 0.5 gigawatt a year, so rotations of 0.5 gigawatt a year, to give a net of, whatever 0.7 0 8. The logic there is obviously that we are generating a significant value in putting up new assets and rotating more mature ones, why forgo -- that will, in itself, maintain our balance sheet capacity. So it's a good balance. This last 2 years have been more tilted towards asset rotations because we haven't rotated any assets in many years. So the balance sheet balancing out process has to be charged in the beginning. Anyway, so your comment is right, or I agree with it. We agree with it. That should be expected in the coming years. As for last policy, the decision to cut the dividend -- from Beatrice, Mediobanca, the decision to cut the policy, the dividend was being aimed at preserving investment-grade credit metrics. Could you elaborate on the specific factors that prevented the approval of the previous dividend level? Yes. Well, why don't you take that one, Raimundo?
Raimundo Laborde: Thank you. Yes. So the decision to reduce the dividend that we propose to the Board and the Board, in turn, is proposing to the AGM is driven by the rating agency discussions. This is one of the mitigating measures that we have agreed. It doesn't have a massive impact on leverage, but it's a strong signal, I think, to the rating agencies, and I think, generally to our lenders that we are serious about returning to a stable outlook. So this is, in terms of dividends going forward, I guess, Jose Manuel, we would have the -- we would want to resume a more normal dividend level post achieving the stable outlook and the rate.
Jose Domecq: Yes. Thank you very much. So that does with questions on ACCIONA Energia. We go on to the questions on ACCIONA Group, the rest of the company. The first one from Flora, Fernando and Oscar, RBC and Santander. Well, we have many questions about Nordex, one of which is considering the strong performance of Nordex, should a placement make sense? Are we comfortable with the high exposure? Is this exposure in industrial fit an industrial company and in our strategy to invest and develop operating infra assets? What would be -- and this is, I guess, it's 4 questions in 1. What would be the minimum level of stake that allows you to maintain consolidation. Let me answer the first part of it. We are very comfortable with Nordex. Nordex is an integral part of the group. It's an integral part of the company. I understand that the market or the analyst community often see Nordex as a financial investment, but I think you should change your approach because that's not how we see it. It's an integral part of the group. We were there when it needed help some years ago. We're there when it's producing excellent results. And that's what business is about. The alternative that subliminally many people or you are suggesting is trading, and we're not into that business. The other questions were whether we would sell 5%. I guess, it doesn't change much and it would be a significant change in our policy towards Nordex to start trading stakes. Let me remind you that we started the OEM industry 25 years ago and Nordex is a result of the ACCIONA Windpower merger with Nordex in 2016. As a matter of fact, it's called ACCIONA Nordex, ACCIONA Windpower. Therefore, our affinity to Nordex is the same as we have had to this industry for many years. Let me then end the answer to this question on a very important -- what I consider to be a very important comment that I somewhat made in my introductory words, which is the importance of maintaining industrial capacities within the European Union. And Nordex is a success story of industrial capacity, of industrial success, and we're very proud to be an integral part of that. And I believe that needs to be protected and needs to be enhanced and encouraged. The next question from Pablo is, could you clarify the criteria for provision reversal at Nordex EBITDA? Do further provisions remain that could be reversed in the following years? Jose.
Jose Carrion: So no more. We don't have any more provisions on our balance sheet, on ACCIONA's balance sheet related to Nordex's nonquality costs. There are some negligible provisions related to other risks. And the reversal is mainly due to the fact that Nordex has already incorporated these expenses into the results, and therefore, we can't have them also on ACCIONA's books. And so we need to revert them. That is the underlying reason.
Jose Domecq: Next question is from Flora at CaixaBank. Can you please share the list of potential awards in concessions? Okay. I don't have that list, but maybe you have it, Jose?
Jose Carrion: Happy to take this one. In the short term, over the next 12 to 18 months, we're going to be tendering around 14 projects in our core markets, so heavy award or heavy activity on new award, new auctions and new projects. There's a strong focus in the U.S. both on managed lanes, where we will be tendering in Tennessee the I-24 managed lane project, in Georgia the I-285 projects and, shortly thereafter, the I-77 project in North Carolina. And we expect awards of at least the first 2 within 2026 or resolution of the participation in 2026 and the I-77 shortly thereafter. Also in the U.S., we will be participating in transmission line bidding for 2 projects, one in MISO, one in SPP. And there's also heavy activity in the short term in Brazil related to both metro lines and the extension of Line 6 and other metro lines that are being developed in Sao Paulo as well as the water concessions with a particular focus in Pernambuco, which we have our preferred bidders for, and we need to sign in the coming months.
Jose Domecq: Thank you. Next question is an update on our asset divestment plans ex energy, including waste or water treatment plans or real estate. Jose, why don't you take that?
Jose Carrion: We're always analyzing different options and not only divestments but also acquisitions. In our Real Estate business, it is business as usual or it is our day-to-day business. And our portfolio of concession assets, the portfolio is still very young. So 90% of it is still under construction, and therefore, we're not considering -- we don't think it is the optimal point for considering asset rotation. That is beyond the potential transaction around part of our waste-to-energy portfolio in Australia, which, as you will have seen, is part of the debt that is currently held for sale given that it's one of the most immediate transactions that we are considering in the group outside of our -- ex ACCIONA Energia.
Jose Domecq: Thank you. Next question from Jose Porta at Kepler are on property development outlook, the EBITDA and the property development in our Living department. Jose, why don't you take that one?
Jose Angel Santos: Yes. This year has been affected by the result coming from the Ombu transaction. That's an office building that we have obtained around EUR 37 million of capital gain, but we still expect revenues and EBITDA to improve significantly like-for-like in 2026, basically, on the delivery of the similar number of units but with a higher price per unit. And the average selling price for these deliveries will be consistently high because the product mix is a high-end product mix. We are talking about properties located in Marbella, [indiscernible] and also Catalonia and Madrid.
Jose Domecq: Yes. Let me add to that, that the Ombu transaction shouldn't be considered as a extraordinary event or extraordinary sale. The Ombu transaction is a classic case of a multiyear normal operational transaction, by which we have reaped an urban facility and improved it and sold it. But that's obviously a more than 1-year process, which will be, I guess, recurrent maybe not every year, but it's a recurring activity. It's an important activity in our Living division. Next question is from Oscar Najar. What is the improvement in net debt, mainly working capital? Why is it so positive, almost EUR 1 billion in second half '25. Jose?
Jose Carrion: The typical seasonality of our working capital profile usually shows better performance in the second half of the year than in the first of the year. And the movement that we've seen in the second half of 2025 is, in fact, quite similar to what we had in the second half of 2024. In -- the last 3 years have been -- working capital performance in the last 3 years has been particularly good in infrastructure with positive working capital for third consecutive year in 2025. In the case of 2025, it has been mainly driven by good management of advanced payments in Australia and the U.S. and good progress in some pending collections in the Infrastructure business. And going forward, for 2026, we should expect the working capital to normalize and reach more moderate levels for the year ahead.
Jose Domecq: Thank you. Next question from Oscar is our expected net debt for 2026. Assuming the disposals in ACCIONA Energia, as I've said in my introduction, we will remain below 3, maybe lower. But our expectation is that -- our aim is to stay below 3. So if the debt levels are temporarily lower than 3, which maybe the case, we would use that additional slack to further investments. So yes, the target is to be below 3. Next question from Oscar Najar. When will you host the CMD on Infrastructure and Concessions? Who wants to take that one? When are we holding a CMD?
Jose Angel Santos: Soon. Well, I think that the answer to that is that we want to have more visibility on the outcome of the bids of this year, and second, our portfolio is very young. And we would like to show a showcase an operating portfolio and probably will be soon by the end of this year or maybe beginning of next year.
Jose Domecq: Yes. I mean I'd like to have one, but there are some moving targets that I think is best if we have them tied down. Question number eight from Oscar. What assets are held for sale in the balance sheet of ANA [indiscernible] ACCIONA Energia? Only South Africa or something else, how much? Jose?
Jose Carrion: Besides the assets held for sale in ACCIONA Energia, which are our South African assets and our 2 wind assets in Mexico, the only asset held for sale in the rest of the business is the Kwinana waste-to-energy plant, which has associated debt of EUR 322 million. And it is what I was referring to on my previous question regarding potential transactions this year.
Jose Domecq: Very good. Well, that does with all the questions we've received. Any doubts or further questions, kindly address us in - through our Investor Relations group or our financial department. I thank you very much for your attendance, and look forward to seeing you in the Capital Markets Day or sooner in the next report or on our road shows in the next few months. Thank you very much. Goodbye.